Operator: Good morning. I'll now turn the call over to Scott Parsons, Alamos' Senior Vice President of Corporate Development and Investor Relations.
Scott Parsons: Thank you, operator, and thanks to everybody for attending Alamos' Fourth Quarter 2025 Conference Call. In addition to myself, we have on the line today John McCluskey, President and Chief Executive Officer; Greg Fisher, Chief Financial Officer; Luc Guimond, Chief Operating Officer; and Scott Parsons, Vice President of Exploration. We will be referring to a presentation during the conference call that is available through the webcast and on our website. I would also like to remind everyone that our presentation will be followed by a Q&A session. As we will be making forward-looking statements during the call, please refer to the cautionary notes included in the presentation, news release and MD&A as well as the risk factors set out in our annual information form. Technical information in this presentation has been reviewed and approved by Chris Boswick, our Senior VP of Technical Services and a qualified person. Also, please bear in mind that all of the dollar amounts mentioned in this conference call are in U.S. dollars unless otherwise noted. Now John will provide you with an overview.
John McCluskey: Thank you, Scott. So I'm going to start with Slide 3. Production for 2025 was 545,000 ounces, below our guidance as a result of severe weather in late December and other challenges at the Canadian operations. Our costs were above annual guidance, reflecting the same factors. Despite the setbacks, we delivered a number of financial records, including revenue of $1.8 billion and record free cash flow of over $350 million, while funding our high-return growth projects. Supported by strong free cash flow generation, we doubled our shareholder returns, further strengthened our balance sheet by reducing our debt and eliminated more of the hedges inherited from the Argonaut Gold transaction, giving us increased exposure to higher gold price. Looking ahead to 2026, we expect a meaningful improvement in operational performance to drive a 12% increase in production. This will be driven by ramp-up of mining rates at Island Gold as part of the Phase 3+ Expansion as well as higher mining rates at Young-Davidson. We expect further growth in production at lower costs in the coming years as we deliver on the larger Island Gold District expansion by 2028 and bring Lynn Lake into production by 2029. Our longer-term outlook remains firmly on track to nearly double our annual production of approximately over 1 million ounces a year at lower costs. Now turning to Slide 4. Over the past month, we outlined the key drivers of our strong outlook. As detailed in our updated 3-year guidance, we expect to deliver a 46% increase in production at approximately 20% lower all-in sustaining costs by 2028. We also provided exploration updates on our mines and exploration projects, highlighting significant upside potential across our portfolio. Our successful exploration program in 2025 contributed to a 32% increase in year-end mineral reserves to 16 million ounces, making the seventh consecutive year of growth. This included a near doubling of reserves at Island Gold District to over 8 million ounces. As announced earlier this month, this growth is being incorporated into a larger expansion of the district, which is expected to create one of the largest, longest life and most profitable gold operations in Canada. This is a high-return expansion that the Island Gold District can fund on its own while contributing to our increasing free cash flow. Reflecting this strong outlook and growing free cash flow, we are pleased to announce a 60% increase in our dividend commencing this quarter. As outlined in the expansion study, we will be expanding milling rates to 20,000 tonnes per day. The higher rate is supported by increased mining rates of 3,000 tonnes per day from underground and 17,000 tonnes per day from the open pit. With the completion of the expansion in 2028, annual production from the Island Gold District is expected to average 534,000 ounces of gold for the initial 10 years at lower mine site all-in sustaining costs of $1,025 per ounce. This is more than double the 2025 production and at 30% lower costs. At a conservative $3,200 per ounce gold price, the operation will generate in excess of $800 million of annual free cash flow and have an after-tax net present value of $8.2 billion. At a gold price of $4,500 per ounce, the after-tax NPV increases to $12 billion, making the Island Gold District one of the largest and most valuable gold operations in Canada. Now turning to Slide 6. Our 3-year guidance outlined a clear path to reach 800,000 ounces of gold production by 2028 at nearly 20% lower all-in sustaining costs of approximately $1,250 per ounce. Longer term, the completion of the Island Gold District expansion in 2028 and initial production from Lynn Lake in 2029 is expected to drive our production to approximately 1 million ounces per year by the end of the decade with a further decrease in costs. We have one of the best growth profiles in the sector, and we can fund all our growth internally while we continue to generate increasing free cash flow. So I'll now turn the call over to our CFO, Greg Fisher, who will review our financial performance. Greg?
Greg Fisher: Thank you, John. Moving to Slide 7. We sold 142,000 ounces of gold in the fourth quarter at an average realized price of $3,998 per ounce for record quarterly revenues of $575 million. For the full year, we sold 531,000 ounces at a realized price of $3,372 per ounce for record annual revenues of $1.8 billion, up 34% from 2024. Our full year total cash cost of $1,077 per ounce and all-in sustaining costs of $1,524 per ounce were above annual guidance, driven by higher costs in the fourth quarter and the temporary challenges at our Canadian operations. Operating cash flow before changes in noncash working capital was $285 million in the fourth quarter or $0.68 per share. This was reduced by $63 million or $0.15 per share, reflecting the cash utilized to eliminate the legacy Argonaut Gold hedges prior to maturity. For the full year, operating cash flow before changes in noncash working capital increased 27% to a record $924 million or $2.20 per share. Our reported net earnings were $435 million in the fourth quarter or $1.03 per share. This included $227 million after-tax gain on the sale of noncore assets, loss on commodity hedge derivatives of $35 million and other adjustments of $16 million. Excluding these items, our adjusted net earnings were $228 million or $0.54 per share. Our full year adjusted net earnings were $587 million or $1.40 per share. Capital spending in the quarter totaled $158 million and include $50 million of sustaining capital, $97 million of growth capital and $11 million of capitalized exploration. For the full year, total capital expenditures were $507 million, including growth capital of $318 million. We continue to fund our high-return growth internally while generating strong free cash flow. This included a record $157 million of free cash flow generated in the fourth quarter and a record $352 million for the full year. Reflecting our growing free cash flow and strong financial position, we returned $81 million to shareholders in 2025, double the amount returned in 2024. This includes the repurchase of 1.3 million shares at a cost of $39 million and dividend payments totaling $42 million. With additional free cash flow growth ahead, we expect further increases in our shareholder returns, starting with a 60% increase in our dividend this quarter. We also paid down $50 million of debt and eliminated half the 2026 legacy hedges inherited from Argonaut Gold. To date, we have now repurchased and eliminated 230,000 out of the 330,000 ounces hedged by Argonaut prior to maturity, providing increased exposure to the rising gold price. We will continue to look for opportunities to eliminate the remaining 100,000 ounces subject to hedges across the second half of 2026 and first half of 2027. Given our strong free cash flow, our cash position grew 90% from the end of 2024 to $623 million, while reducing our debt to $200 million. We expect growing production and declining costs to drive increasing free cash flow over the next several years, while we continue to fund our organic growth plans. With that, I'll turn the call over to our COO, Luc Guimond, to provide an overview of our operations. Luc?
Luc Guimond: Thank you, Greg. Over to Slide 8. Fourth quarter production from the Island Gold District totaled 60,000 ounces, a 10% decline over the previous quarter due to lower underground mining rates as well as reduced mill throughput. For the full year, production totaled 250,400 ounces, a 33% increase over the previous year, but slightly below the low end of revised annual guidance. During the fourth quarter, underground mining rates of 1,160 tonnes per day were impacted by additional rehabilitation work related to the seismic event that took place in October as well as downtime in late December due to severe winter weather. This prevented the delivery of supplies and access to site by personnel and emergency services, thus requiring a 3-day standdown of underground operations. The Island Gold mill averaged 1,180 tonnes per day in the fourth quarter, consistent with underground mining rates. The underground rehabilitation work required to ramp up mining rates as part of the Phase 3+ shaft expansion is substantially complete. Mining rates are on track to increase to an average of 1,400 tonnes per day in the first quarter of 2026 and gradually increase to 2,000 tonnes per day in the fourth quarter, driving growing production through the year. The open pit portion of the operation continues to perform well with mining rates averaging 16,600 tonnes per day of ore in the fourth quarter and 15,000 tonnes per day for the full year, in line with guidance. Magino milling rates averaged 8,625 tonnes per day in the fourth quarter, a modest improvement over the third quarter, but below expectations, in part reflecting weather-related disruptions late in the quarter. With a number of initiatives being implemented through the first quarter of 2026, milling rates are expected to improve substantially in the second half of the year. Total cash costs and mine site all-in sustaining costs were above annual guidance, driven by lower mill throughput at Magino and lower mining rates at Island Gold. The Island Gold District generated mine site free cash flow of $61 million in the fourth quarter and a record $205 million for the full year, net of significant capital investment related to the Phase 3+ shaft expansion and exploration. At current gold prices, the Island Gold District is expected to continue generating strong free cash flow while funding its expansion plans and a robust exploration program. We are expecting a significant improvement from the Island Gold District in 2026 with production expected to increase 24% to between 290,000 and 330,000 ounces, driven by the ramp-up of underground mining rates and improved milling rates at Magino. Moving to Slide 9. To improve processing rates within the Magino mill, we have added a temporary crusher to provide supplemental crushed ore feed downstream from the existing secondary crusher. This is expected to help sustain the flow of crushed ore into the mill and support higher milling rates of 10,000 tonnes per day by the end of the second quarter. Additional improvements we are implementing include ongoing work with third-party specialists to optimize and improve the reliability of the circuit and the restructuring of maintenance and mill operating management teams, which will ensure constant senior level oversight. Longer term, the addition of the gyratory crusher, new truck dump configuration and ore bins as part of the larger expansion of 20,000 tonnes per day will support further improvements to the performance of the existing circuit. Moving to Slide 10. Substantially, all the capital related to the Phase 3+ expansion has been spent or committed with the shaft infrastructure and paste plant commissioning expected in the fourth quarter. This will be the catalyst to increase mining rates to 2,400 tonnes per day in 2027 and ultimately, 3,000 tonnes per day in 2029 as part of the larger expansion. The photo on the right highlights the progress on the 1,350 shaft station. Once the station is completed, the remaining 29 meters to shaft bottom will be sunk by the end of the first quarter. Over to Slide 11. As John previously noted, the Island Gold District expansion to 20,000 tonnes per day is expected to create one of the largest, lowest cost and most valuable gold mines in Canada. Following the completion of the expansion in 2028, production is expected to increase to average 534,000 ounces per year over the initial 10 years at mine site all-in sustaining cost of $1,025 per ounce. This represents more than double the production from the district in 2025 at 30% lower all-in sustaining costs. At a $4,500 per ounce gold price, the expansion has an after-tax IRR of 69% and net present value of $12 billion. The Island Gold District is quickly evolving into one of Canada's largest, most profitable and valuable operations. And as Scott will touch on later, we believe there is more upside to come given the significant exploration potential. Over to Slide 12. As detailed in the photos, the expansion to 20,000 tonnes per day is well underway. As part of the Phase 3+ shaft expansion, we already started construction on a new mill building that was sized to accommodate the larger expansion. The new circuit will blend -- we'll process a blend of high-grade underground ore as well as open pit ore at a rate of 10,000 tonnes per day, while the existing circuit will process only open pit ore at only -- at also 10,000 tonnes per day. Construction of the open pit truck shop is well underway, which will follow for timely and cost-effective maintenance of the mobile fleet. With all the earthworks and concrete foundations complete and structural steel already erected, the larger expansion of the operation has already been significantly derisked. Over to Slide 13. Young-Davidson produced 41,400 ounces in the fourth quarter, a 9% increase over the previous quarter, but below expectations. Mining rates were impacted by severe weather conditions in late December, rehabilitation work required on 1 of 3 ore passes and the failure of a small portion of a paste plug underground. Production for the full year totaled 153,400 ounces, below revised guidance due to lower-than-expected mining rates and grades. With rehabilitation work completed on the impacted ore pass and an additional ore pass being commissioned this quarter, the total number of ore passes will increase to 4, providing additional operational flexibility. This is expected to support improved mining rates of approximately 7,600 tonnes per day in the first quarter and 8,000 tonnes per day in the second quarter and through the rest of the year. Cost per ounce were above guidance for the full year due to lower mining rates and grades processed. Despite the temporary challenges, Young-Davidson generated record mine site free cash flow of $250 million in 2025. In 2026, improved mining rates are expected to drive an increase in production from Young-Davidson to between 155,000 and 175,000 ounces, supporting strong ongoing free cash flow at current gold prices. Over to Slide 14. Production from the Mulatos District totaled 40,100 ounces in the fourth quarter, an 8% increase over the previous quarter, reflecting higher stacking rates and the recovery of previously stacked ounces on the leach pad. Production for the full year was 141,600 ounces, in line with annual guidance, which was revised higher in October. For the full year, costs were also in line with guidance. The Mulatos District generated record quarterly mine site free cash flow of $92 million and $222 million for the full year, net of $100 million in cash tax payments. The district remains well positioned to continue generating strong free cash flow while fully funding construction of the PDA project. For 2026, production from the Mulatos District is expected to be between 125,000 and 145,000 ounces at similar costs to 2025. I will now turn the call over to our VP of Exploration, Scott Parsons.
Scott R. Parsons: Thank you, Luc. Over to Slide 15. We continued our track record of growth with a 32% increase in mineral reserves to 16 million ounces at the end of 2025. This marked the seventh consecutive year of growth over which reserves have increased 64% with grades also increasing 24% as our reserve base continues to grow in both size and quality. This year's growth was mainly driven by the Island Gold District, which added nearly 4 million ounces to reserves in 2025. Measured and indicated resources increased 6% with growth at Young-Davidson, the Mulatos District and Lynn Lake more than offsetting resource conversion at Magino. Inferred resources decreased 63%, reflecting the successful conversion of Island Gold District resources to reserves. We recently announced exploration updates for all of our mines and projects, highlighting the significant upside potential across our asset base. This led to an increase in our 2026 exploration budget to nearly $100 million, 37% higher than in 2025. Over to Slide 16. The big driver of the year-over-year increase in reserves was the impressive growth at the Island Gold District. Underground reserves more than doubled, increasing 125% to 5.1 million ounces, while open pit reserves increased 56% to 3.1 million ounces. The increase was driven by a successful delineation drilling program at both deposits, which resulted in the conversion of a large portion of mineral resources into mineral reserves. Despite the focus on delineation drilling, we are successful in increasing our overall mineral inventory at Island Gold for the 10th consecutive year with mineral reserves and resources increasing to 6.8 million ounces. Over to Slide 17. Drilling continues to extend high-grade mineralization across the Main Island Gold structure as well as within several hanging wall and footwall structures. This includes in the Lower Island East area, where reserves have grown to include 1.6 million ounces, grading 15 grams per tonne of gold. This represents one of the highest grade portions of the ore body, containing some of the deepest and best drill hole intersections to date. Based on our ongoing success and with the deposit open laterally and at depth, we expect the Main Island Gold deposit will continue to grow well into the future. Over to Slide 18. At the regional scale, drilling at the past producing Cline-Pick and Edwards Mines continues to extend high-grade mineralization beyond the limits of historic drilling. This included intersecting the highest grade hole ever drilled at Cline-Pick at 178 grams per tonne over 3.5 meters. These regional targets are located within 7 kilometers of the Magino mill and represent potential future sources of higher-grade supplemental feed as part of a larger district expansion. Over to Slide 19. The deepest holes drilled to date at Cline-Pick have intersected high-grade mineralization at depth of 540 meters. By comparison, drilling at Island Gold has intersected high-grade mineralization down to depths of over 1,600 meters. Both deposits remain open at depth and with similar deposits in the Canadian shield extending well beyond depth of 3,000 meters, there's significant potential for further growth and upside to the Island Gold District expansion study. Additionally, limited drilling has been completed within the 7-kilometer gap between Island Gold and Quin Pick and further along strike to the Northeast across our broader 60,000-hectare land package, highlighting the district scale potential. With that, I'll turn the call back to John.
John McCluskey: Thank you, Scott. And I'll turn the call over to the operator who will open up for your questions.
Operator: [Operator Instructions] Your first question comes from Cosmos Chiu with CIBC.
Cosmos Chiu: Maybe my first question is on exploration here. Good to see that you're targeting some of the higher-grade mineralization at Young-Davidson and some of the newly defined hanging wall zones. I guess my question is, some of these new targets, are they still associated with the historic kind of cyanide intrusive rock? Or are you actually finding stuff in some of the sediments and ultramafic stratigraphy? And if it is still associated with cyanide, what makes it so that this is potentially higher grade?
Scott R. Parsons: Thanks for the question, Cosmos, this is Scott. So to start, I guess, what got us really excited initially about the hanging wall mineralization that we're intersecting at YD in 2024 initially was that it was a different style of mineralization. So it was in the hanging wall in a different lithologies. So we're seeing this in conglomerates, volcanics and the cyanides out there as well, but the higher grades we were seeing were associated with the conglomerate units. And that's what we've been focusing on drilling with our hanging wall drift and do see potential for higher grade mineralization in that conglomerate. The second hanging wall target that we had highlighted in our press release on exploration for 2025 was something called the South cyanide. So it's a similar lithology to what hosts the main reserves at Young-Davidson, but this is offset 300 meters south. So it's a different cyanide body, we think, at this time. And we are seeing locally higher grades within that and we are working as we speak on drilling that to understand what's controlling the higher grade in that south cyanide body.
Cosmos Chiu: That's good to hear. And then I guess, another sort of deposit we don't talk enough about the PDA. And I know you talked about that a little bit -- quite a bit actually at the Investor Day. But can you remind me, as you mentioned, initial production is targeted for mid-2027. What kind of key deliverables are there in 2026? What are some of the kind of critical path items that you need to target in 2026 in order to get to your mid-2027 initial production?
Luc Guimond: Cosmos, it's Luc here. I'll take that question. So I mean, there's 2 key components there. Obviously, one is on the mining side, establishing the port entrances, which is what we're currently working on right now. So there'll be 2 port entrances into the PDA underground workings. And then obviously, over the next -- over the life of the mine, but certainly over the next 12 months as we're looking to prepare for -- sorry, for the next 18 months to be able to prepare for commissioning of the mill complex to bring that online will be development work and still preparation as far as being able to maintain and sustain our mining rates at 2,000 tonnes per day. So that's the key aspect is really get the portals commissioned this year, established and start on the development work over the next 18 months and the rest of that life of the mine of that operation. The other key component is related to the processing plant. So we've already -- we're well advanced on that as well. Most of the earthworks have been completed for the crushing station locations as well as the -- where the -- sorry, where the ball mill is going to be located for the mill complex. And we've already procured the long lead items that we need with regards to that construction schedule. And everything is well advanced to be able to have most of the work will get completed through the 2026 period. And then by mid-2027, we'll be wrapping up some of the construction-related activities related to the processing plant itself. But everything is tracking online, on schedule and certainly on budget for mid-2027.
Cosmos Chiu: Great. And then maybe one last question, bigger picture here. And it was certainly good to see that you've increased your dividend by 60%. But I guess my question is, do you feel like you're getting fully rewarded for this dividend by the market? Or do you think you need to target a higher yield before you can get fully rewarded by the market for this dividend? And maybe broader, John, if you can talk about kind of your capital return strategy.
John McCluskey: We've done -- historically, we've paid this dividend going back to 2010. We've always done a combination of dividends and share buybacks. Last year, we almost returned as much by way of share buybacks as we did through the dividend. And we're always going to keep that in balance. We're very opportunistic with respect with the share buyback. But the dividend itself, I think there's further room for growth, but this is a good indicator of our intentions. And despite the fact that we're going through a heavy capital spend schedule over the next couple of years as we effectively double our production between now and the end of the decade, the gold prices are strong. We're generating phenomenal free cash flow. There is -- there was room to increase the dividend, and we did so. But I think investors should expect more dividends to come.
Operator: There are no further questions at this time. This concludes this morning's call. If you have any further questions that have not been answered, please feel free to contact Mr. Scott Parsons at 416-368-9932, extension 5439.